Operator: Good morning, everyone, and thank you for joining us today for Old Second Bancorp, Inc. Third Quarter 2020 Earnings Call. On the call today is Jim Eccher, the company’s CEO; Gary Collins, the Vice Chairman of our Board; and the company’s CFO, Brad Adams. I will start with a reminder that Old Second’s comments today may contain forward-looking statements about the company’s business, strategies and prospects which are based on management’s existing expectations in the current economic environment. These statements are not a guarantee of future performance and results may differ materially from those projected. Management would ask you to refer to the company’s SEC filings for a full discussion of the company’s risk factors. On today’s call, we will also be discussing certain non-GAAP financial measures. These non-GAAP measures are described and reconciled to their GAAP counterparts in our earnings release, which is available on our website at oldsecond.com, under the Investor Relations tab. Now I will turn it over to Jim Eccher.
Jim Eccher: Okay. Good morning and thank you for joining us today. I have several prepared opening remarks and will give my overview of the quarter and then turn it over to Brad for additional details. I will then conclude with some summary comments and thoughts about the future before we open it up for questions. Net income was $10.3 million or $0.34 per diluted share in the third quarter. Earnings this quarter were positively impacted by continued higher volumes of mortgage banking activity and result in income specifically net gains on sale of mortgage loans. Net interest income declined slightly from last quarter based on continued reductions of interest rates on variable rate loans. The impact of $137 million in PPP loans and a massive increase in core deposits without corresponding earning asset growth resulted in a sizeable reduction in a reported taxable equivalent margin of 31 basis points. The NIM compression was more significant than our expectations because we had not anticipated the magnitude of the increased liquidity, which taken our loan to deposit ratio from 84% to 82% this quarter. Expense discipline was strong with deferral expenses related to the origination of PPP loans, reduced hours of operation and lower overall volumes. Asset quality trends at this point remained remarkably stable. And a bulk of our lending team is focused on monitoring and staying in close contact with our clients. Non-performing and classified assets increased somewhat modestly, and we remain confident in the strength of our portfolios. Details are available in the earnings release tables on these changes. Loans that are modification stand at approximately 2.4% of the loan book today and we are working closely with our borrowers to understand each and every situation. Of the original $226.2 million of loans, which were on COVID-19 related deferral, about $172 million or 76% have already returned to payment status. As of October 19, 49 loans totaling $26.6 million in balances received a second deferral period. Concurrent with our earnings release, Old Second also filed additional detail on our loan portfolio that will give investors additional detail on the composition of the loan portfolio, current modification breakdowns and reserve levels. Exclusive of PPP loans, the reserve currently stands at 1.74% of total loans and 1.9% at the reserve for unfunded commitment is also considered. During the quarter, $1 million of reserves for unfunded commitments was reclassified into the allowance for credit losses on loans. Overall fundamentals and earning trends were relatively stable and consistent with prior quarters with mortgage banking results, reflecting a positive impact of the low rate environment. We are extremely pleased with this performance. Old Second has taken a number of steps to protect our employees, customers and communities. For our customers, our locations remain open and available, albeit, with necessary safety precautions. We are continuing to work with those that have been directly impacted and we are offering the ability to defer payments as appropriate. Fees have also been waived in many cases. The vast majority of our staff has been working remotely since March without issue. Old Second is proud to serve our communities and I couldn’t be more grateful of the efforts of our employees over the last few months. We are fortunate that our core lending strengths has steered us clear of many of the most impacted industries. As a reminder for the last quarter, we had zero direct energy or aircraft exposure in our loan portfolio, hotel lending is extremely limited and restaurant lending is similarly scarce in our portfolio. We realized the potential exists for many other industries to be significantly impacted in the short to intermediate term from the implications of rising unemployment and falling consumer and commercial demand. We are closely monitoring trends in both retail and office commercial real estate, both for our customers and in our footprint. Our overall outlook remains cautious at this point, although we are seeking new lending relationships. Our base economic forecast at September 30 continues to project significant economic stress and an elevated unemployment rate over the life of the loan portfolio. Of note, we did not worsen our base case economic scenarios in the third quarter, although we have not, as of yet upgraded them either. We will have losses at some point, but we believe our portfolio is well diversified and will hold up much better than most. Importantly, we believe our capital and liquidity position are as strong as they have ever been. In regards to the third quarter, specifically, total loans decreased by $22 million from last quarter due to continuing payoff activity and softer origination volume. We did not see significant line of credit drawdowns at Old Second in the third quarter. Thus far in 2020 line drawdowns have continued to remain mostly muted. In a very short period of time, we saw a robust pipeline of loan demand, mostly disappear. Concurrent with this, we quickly froze any lending activity that featured cash-out refinancing. Loan growth trends in the fourth quarter and beyond should improve based on current pipelines from the levels below the path of the overall economy and pandemic progression could impact that estimation. In the third quarter of 2020, Old Second began the forgiveness application process with the SBA and will continue to process forgiveness applications through the remainder of the year, with an expectation of receipt of funds from SBA well into 2021. Overall, we remain cautious, but surprisingly encouraged about our results in a number of areas. And I’ll turn it over to Brad, who will give you more color in his prepared comments.
Brad Adams: Thank you, Jim. Net interest income decreased only $198,000 relative to last quarter. Net interest margin has declined due to further expansion of excess liquidity on the balance sheet, reduced rates and lower yielding PPP loans. We had expected more margin – more modest margin compression than this, but continued deposit inflows and substantial excess liquidity, we persisted for the entirety of the quarter. Our margin performance exclusive of these factors has remained within shouting distance of our expectations. We will modestly look to deploy some of the excess in coming periods over extremely short durations and with the extremely conservative credit profile. This should stabilize the margin in future periods. I’m not assuming at this point anyway, that the deposit inflows will reverse quickly. If the outflow or bounce back is relatively quick, our margin outlook would improve. If economic conditions improve and loan growth returns, our margin outlook would improve. I do not currently expect either of these conditions to occur in the short term. The income trends were strong relative to last quarter, as mortgage banking income increased $950,000, primarily due to net gain on sale of mortgage loans and a reduction in MSR losses in the third quarter of 2020 over the second quarter. Service charges on deposits also reflected growth because of customer banking activity increased. Consumers’ slowly start to spend again in the pandemic environment. The provision for loan loss is total $300,000 in the third quarter falling into approximately $8 million in the allowance for credit losses in the first quarter of 2020 and $2.1 million in the second quarter. This economic outlasts for us as soon as prolonged recessionary environment with an unemployment rate remaining above 8% through September of next year and highly elevated over the remaining life of the loans. As Jim mentioned, Old Second has minimal exposure to the hardest hit industries in a very strong credit culture overall. Our consumer lending exposure is both relatively modest and well seasoned. Reserves across the commercial book have increased dramatically this year, in excess of 50% relative to last year. Our efforts in the coming quarters will be focused on helping our customers, funding quality loan growth and maximizing core funding with the expectation of further modest contraction in margin trends, assuming liquidity remains robust, and risk spreads remain unreasonably tight. Our capital and liquidity levels leave us well positioned, and we have ample flexibility to continue to pursue quality relationships while protecting the franchise. Expenses remain extremely well controlled, and we will likely pursue some modest expense initiatives in the remainder of the year as the depth of the economic stream becomes more clear. With that, I’ll turn the call back over to Jim.
Jim Eccher: Okay. Thanks, Brad. In closing, we remain encouraged with these trends, confident in our balance sheet and feel like we’re ready for the challenges ahead. We have taken the steps to position ourselves well for a slowdown and recession. We believe our credit and underwriting has remained disciplined, and our funding and capital position is strong. I remain optimistic that opportunities will be available to improve our franchise, and the focus for us is on timing. Making sure we have the right liquidity, balance sheet and access to capital that we need in order to take advantage. I’d also like to mention that we announced two new additions to our Board of Directors this week, Jill York, a long time executive with MB Financial and Bill Lyons, with more than 30 years of bank regulation experience with the OCC have agreed to join us. We welcome their perspective and believe they can help us reach our long-term goals. That concludes our prepared comments this morning. So I will turn it over to the moderator and we can open it up for questions.
Operator: Thank you. Our first question comes from Nathan Race with Piper Sandler. Please state your question.
Nathan Race: Good morning. I was hoping maybe just to start with loan growth outlook, loans actually decline in the quarter. And I think part of that was attributable to lower line utilization, which I think also resulted in you guys reversing the unfunded commitment ACL as well. So I just trying to think have loans kind of trough at these levels here in 3Q PPP and how should we kind of think about the unfunded commitment piece of the ACL going forward?
Jim Eccher: Yes, Nate. I guess I would say, based on the last few weeks, we’re definitely seeing a pipeline starting to build again. Things are very difficult to predict, going out more than two, three weeks, but certainly with the uncertainty in the economic COVID. But we are seeing a more active loan committee. We’re encouraged with the quality of the opportunities that we’re looking at, and expect we can stabilize a portfolio and hopefully show some growth in the fourth quarter.
Brad Adams: And relates to the provision for unfunded commitments, it’s – I think that’s largely a factor of how much uncertainty there was in the first quarter and maybe into the second quarter in terms of how bad things were looking at that time. Our actual commitments are down pretty substantially as you can see in the overall loan trends. But that provision level that still exists for unfunded commitments. I would still characterize it as indicative of very severe economic stress. So it’s possible that can continue to come down. The question is, is does it go into the general reserve, as it has in the third quarter? Or where does it get reversed? But I think it’s more indicative of the level of stress that we saw early in the year versus the level of stress that exists today.
Nathan Race: Okay, got it. And then on the core NIM outlook going forward, it sounds like, the excess liquidity level they’re expected to remain elevated at least in the near term. So it sounds like, the expectation is for some core NIM compression from the 3.34% level leads into the fourth quarter of this year, past early next year, I’m just hoping to kind of frame up the magnitude that your kind of compression expectations per head over the next couple of quarters?
Jim Eccher: Your guess would be as good as mine, Nate. I think that, we saw on an average basis, $130 million increase in net fed fund sole position, a third quarter, relative to the second. I would not have expected that. I did not expect that. Obviously, there’s a whole heck of a lot of money sloshing around and we’re not the only one seeing this dynamic. I think that margin trends from here for the industry will be largely dependent upon issuers desire to plow that liquidity back in. Certainly, when you look around in investment opportunities that are available to those that are cautious right now, credit spreads are in my opinion, unreasonably tight and not indicative of the risk that’s out there. I think that we obviously have to do something in terms of putting some of that liquidity to work. But my strong preference is that, that it would be extremely short in duration and with credit guarantees. So that will help the margin, because anything’s better than a 10 basis point fed fund sole position. But it’s not going to improve it. As long as excess liquidity remains around it’s going to be a margin that’s stepped on. I will also say that it doesn’t necessarily bother me. I think at least internally we’re running into margin calcs, what’s the core margin and what’s the margin impacted by excess liquidity. And our core margin is incredibly stable as we measured internally. So I’m not too terribly concerned by the possibility of future margin contraction at this point.
Nathan Race: Okay, understood. That’s helpful. And then just lastly for me, credit performance was I think quite acceptable in the quarter. The only item that maybe stood out to me was the uptake in classified loans. It looks like there was an increase in construction classified. So just any color along those lines would be helpful?
Brad Adams: Yes. We had a modest uptick, Nate. I think we try to be very proactive in our credit committee and we had one small condo project that is struggling, but of the 23 loans that came off of abatement in the first round that were downgraded to special mentioned or substandard, most of those reside in either churches in our leasing portfolio specifically in transportation or motor coach. We don’t see losses at this point, but the common theme is cash flow is under some duress here. We expect some of these to get upgraded in the next couple of quarters, but importantly, we don’t see any losses with these downgrades.
Nathan Race: All right. Great to hear. I appreciate you guys taking the questions, next quarter.
Jim Eccher: Thank you.
Operator: Our next question comes from David Long with Raymond James. Please state your question.
David Long: Good morning, everyone. It sounds like you guys are cautious, but still optimistic on what types of losses you guys will have. And Jim, you said the bank will record losses. Where do you expect those losses to come at this point in time?
Jim Eccher: Well, I’ll give you an example. The least portfolio is probably got the highest risk for potential losses. As I mentioned, there’s a number of borrowers in the motor coach industry and transportation. Actually, to date, they’re under either the first abatement, the second abatement, or potentially could get extended again, which would create a TDR. But none of them at this point are ready to hand over the keys to us. But if I had to guess, provided this extends – COVID extends longer that that sector could be under more duress. In absence of that, our retail concentrations hanging in there, we don’t have – we only have a couple of credits that are on the second abatement there. But and then, the church portfolio is certainly under duress. Many of them have adapted to the virtual tiding, a number of them haven’t been able to make that change. So that’s always a challenging situation. If my guess is, we’ll continue to work with them and provide more payment relief even beyond the second deferral.
David Long: Got it. Okay. Thank you. And it sounds like the accounting then if you do, once you go past the 180 days at that point, does it then become a TDR?
Jim Eccher: It would. It would, yes.
David Long: Okay. Got it.
Brad Adams: As we are sitting here today are, our second deferrals are in the mid-$20 million. So it’s in the 1% range in terms of total loan portfolio. So what we’re talking about here is tiny specifics in terms of where we’re seeing strength. We’ve been surprised to the upside and this forces us to be more optimistic in terms of what the underlying cash flow dynamics and our customers’ looks like today, it were relative to what it looked like six months ago. So things on that front are pretty encouraging.
David Long: Got it. And then last question I had is, looking at your reserve today, what do you have built into your reserve on assumptions for – what is your assumption for a stimulus package in the reserve?
Jim Eccher: We’ll not currently have an expectation of the stimulus package and the reserve.
David Long: Got it. Thank you.
Operator: Our next question comes from Chris McGratty with KBW. Please state your question.
Chris McGratty: Good morning, everyone. Brad or Jim, could you just elaborate on your comments about expenses? It seems to be a hot topic within the industry today in response to COVID and low rates, I guess, maybe magnitude of what you might be considering.
Jim Eccher: Not a lot. We run lean. We have run lean. And my honest opinion, if you announced the draconian expense cut, then you probably weren’t doing what you should have been doing a year ago. So for us, it’s trimming at the edges a little bit here. We have migrated from a 60% – mid to high 60% efficiency ratio to a sub 60% efficiency ratio over the last several years. We remain there despite a margin that has come down in a low rate environment. We run a tight ship. I’m very proud of the efforts that have been made by everybody here in terms of keeping expenses locked down. We also have a great many capital improvement and caught up on any deferred maintenance in 2018 and 2019 when the margin was expanding. And that involves also some significant tech investments. Some of which allowed us to be pretty darn seamless when we went full remote. So I just don’t see any significant CapEx increases relative to the base years where it did have some and I think we can hang out around this $20 million quarterly level. And I think that can drive basically returns on tangible common equity that are pretty damn close to mid-teens which I’m happy with.
Chris McGratty: Got it. On capital, I mean, you guys are kind of one of the few that have been returning capital to the buyback, thoughts on pace of expectations going forward. Is it fair to assume given that you’ve done for a couple of quarters that you might continue if the visibility is improving?
Brad Adams: Yes.
Chris McGratty: Okay. And then last question. Obviously the industry benefited from lower tax rates a couple of years ago. Anything different in your – I know you’ve done some stuff, investment portfolio for assets. Anything materially different from the sensitivity that we had all the way down that might be at risk all the way up?
Brad Adams: No, not really. I think that if tax rates change, it’s a step change kind of back to where we are. We didn’t lean into anything over the new tax regime. Certainly that wouldn’t be my preference, but we’ll see if we had that way.
Chris McGratty: Got it. Thanks.
Operator: Okay. Our next question comes from Brian Martin from Janney Montgomery. Please state your question.
Brian Martin: Hey guys. Good morning. Just one question I want to ask about the classifieds, but was there any migration in the watch list the special mentioned credits this quarter of any magnitude or was it pretty stable there as well?
Jim Eccher: We had a couple – we had a handful of credits Brian migrated to special mention and no surprises. It’s aforementioned leasing portfolio strain. We had one hospitality loan that we took to special mention, but ironically, we understand that they are coming – they don’t need a second deferral where we returning the normal payments in the fourth quarter. As far as any surprises, I can’t say that there were any – there was pretty minor movement really to non-accrual and we obviously had a few upgrades too, and had some resolutions on some properties that we were able to sell.
Brian Martin: Okay. So just a modest increase, so a similar increase to what we saw in classifieds. And how about just your take on – just the reserve build in general, how credit sounds. I guess, do you guys feel like you got most of the reserve build from COVID kind of completed at this point absent any significant underlying deterioration from here or change in trends?
Brad Adams: Yes. That is the nature of CECIL modeling. I would say that the only risk for meaningful provision growth from here is duration of the economic stress. You shorten your forecast period when recession becomes evident, to what extent does the recession extend beyond or continue to extend beyond your forecast period? And what is the magnitude of losses that you began to see in context with that? So, yes, we got a lot of reserves. We got a lot of capital. We got a lot of liquidity. We’re in really good shape. I don’t know how else to put it other than that.
Brian Martin: Yes. I mean, I guess the change – it seems like Moody’s made some changes to the better this quarter, Brad, I guess, but it sounds like you guys didn’t change your forecast. I guess, is that just an abundance of caution or is it just wait another quarter or just what’s kind of the explanation there, or did your forecast not change?
Brad Adams: Our forecast is not changed meaningfully. And I would say that you can get whipsawed pretty good, if you start changing your outlook as fast as some of this stuff has changed. I’ll be honest, my personal bias is that the unemployment rate – the real unemployment rate is substantially above 8%. And the implications of that do not happen quickly. Despite the market movements that seemed to indicate that it does. We’re by no means out of the woods here. As far as Old Second goes, our profitability is very strong, our credit quality is holding up very well. Our underwriting has remained disciplined. When we say things like we expect losses will occur, I don’t know how unemployment goes from 3% to above 10% on a real basis. And you don’t experience some stress. I don’t care how much liquidity you throw at it.
Brian Martin: Okay. And how about just one last one, Brad, just on the deferral, Jim. The deposit growth this year, I mean, how much do you think – I guess, how much of that do you think is long-term permanent customers that you guys are deposits that stick around versus kind of something that’s more transitory that is going to exit the bank.
Jim Eccher: Yes. Brian, that’s a great question. We’re certainly seeing the lack of spending right, both on the consumer side and on the commercial side, we’re still – we’ve been hovering between $250 million and $300 million, and said fund soul. How much of that’s going to stick? It’s pretty hard to tell. And normally we see some bleed down in the fourth quarter as our municipal depositors deploy their cash. We do feel better about loan growth in the fourth quarter, but then on the flip side, we’ve got $130-some-odd million in PPP loans that could be forgiven here in short order. So your guess is as good as my.
Brian Martin: Okay. All right. And just maybe the last two. Just you touched on Jim, the PPP forgiveness, it sounds as though, I guess, is your expectation that most of that – there’s not much in the fourth quarter and most of its probably the first half of 2021 at this point.
Jim Eccher: Based on the response or lack thereof, I would say probably more into the first quarter, although we do have a handful in process and have one processed. But looks like the way things are going, it’s going to be into the first quarter.
Brian Martin: Yes. Okay. And then just any updates on just kind of – you talked about the retail and office portfolios. You touched on the other ones, Jim, that have distress with the leases and some of the other items. But just any items when you look at the retail or office that are noteworthy based on analysis over the last quarter here or so.
Jim Eccher: Yes. I think it’s important to note Brian. First of all, we have no offices, no large office properties in Downtown Chicago, they’re all in the suburbs. We have zero loans on deferral in the office portfolio right now. We have a couple in the retail portfolio, but we’re reading the same news you are. We know things are changing rapidly. So we’re in constant contact with our clients and trying to get our arms around rental rates and cap rates. And that does concern us. And we’re going to continue to be vigilant over that book, but right now it’s holding up pretty well.
Brian Martin: Okay. And the areas of most concern in the retail book, Jim would be what? I guess, when you look at it today.
Jim Eccher: Well, I would say smaller retail strips, some standalones would concern me. Those are the areas that I would be most concerned with.
Brian Martin: Okay. I appreciate you guys taking the questions. Thanks.
Jim Eccher: Thanks, Brian.
Operator: [Operator Instructions] Our next question comes from David Konrad with D.A. Davidson. Please state your question.
David Konrad: Good morning. Just a couple of follow-up questions. One is on PPP. Can you remind us of the fee income potential out there that’s still taken the earnings if there’s a prepayment going in the first quarter?
Brad Adams: So in terms of the net bottom line earnings impact, we had told people that there was around $4.5 million gain. The bottom line impact though is impacted by the amount of expense deferral that occurred last quarter. So I would say net economics to the balance sheet, exclusive of lost yield, if that portfolio pays and we do not redeploy at the same or better rate as we still got somewhere between $2.5 million and $3 million outside.
David Konrad: Perfect. Thanks. And then last question just following up on the loan growth and loan portfolio. Most of the asset classes were down quarter-over-quarter, but I did find it interesting that CRE investor category was up about 4.5%. I know you guys have been really conservative in the CRE, but just any color there on the growth to call out to mention given that growth.
Jim Eccher: Yes. You said specifically to CRE investor loans?
David Konrad: Correct. Yes.
Jim Eccher: Yes. I don’t think it was – I thought it was pretty moderate growth. David, I’ll have to get back to you on that. But overall originations were softer in the quarter. We do see a better fourth quarter, but I’ll have to get back to you on that one.
David Konrad: Thank you.
Brad Adams: Broadly the loans that we have looked at doing over the last six months or so have been well established operators with substantial recourse.
Jim Eccher: I mean, if I look at the largest buckets that we funded in the quarter were larger multifamily and some manufacturing. But I can get you some more color on that.
David Konrad: Perfect. Thank you.
Operator: Okay. And it looks like that was our final question.
Jim Eccher: Okay. Well that concludes our presentation today. Thanks for joining us. And we’ll talk to you next quarter.
Operator: Thank you. This concludes today’s conference call. We thank you for your participation. You may disconnect the lines at this time and have a great day.